Operator: Good morning, and welcome to the Virtu Financial 2020 Second Quarter Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Ms. Debbie Belevan. Please go ahead, madam.
Deborah Belevan: Thank you, operator, and good morning, everyone. Thanks for joining us. Our second quarter results were released this morning and are available on our website. Today's call may include forward-looking statements, which represent Virtu's current belief regarding future events and are, therefore, subject to risks, assumptions and uncertainties which may be outside the company's control. On today's call, we'll have Mr. Douglas Cifu, our Chief Executive Officer; and Mr. Joe Molluso, co-President and co-Chief Operating Officer. They will begin with prepared remarks and then take your questions. Please note that our actual results and financial conditions may differ materially from what's indicated in these forward-looking statements. It's important to note that any forward-looking statements made on this call are based upon information presently available to the company, and we do not undertake to update or revise any forward-looking statements as new information becomes available. We refer you to the disclaimers in our press release and encourage you to review the description of risk factors contained in our annual report and Form 10-K and other public filings. During today's call, we'll refer to both GAAP and non-GAAP results. In addition to GAAP results, we may refer to certain non-GAAP measures, including adjusted net trading income, adjusted net income, adjusted EBITDA and adjusted EBITDA margin. Non-GAAP measures should be considered as supplemental to and not as superior to financial measures prepared in accordance with GAAP. We direct listeners to consult the investor portion of our website where you'll see supplemental information refer to on this call as well as a reconciliation of non-GAAP measures to the equivalent GAAP term in the earnings materials with an explanation of why we deem this information to be meaningful as well as how management uses these measures. And with that, I would like to turn the call over to Doug.
Douglas Cifu: Thank you, Deborah. Good morning, everyone. And thank you for joining us to review our second quarter results. Before I begin, I'd like to say on behalf of all of us at Virtu, we hope that you and those you care about are safe and healthy. I will start with a review of our second quarter performance highlights and then provide updates on our strategic initiatives. Joe will then review our financial results and balance sheet before we open the lines up for Q&A. But first an update on how we've adapted to the COVID environment and how it continues to test all of us across the globe. We understood early on, that a crisis of this scale demanded that we do more than simply protect our business, we need to support our people, our clients, and the communities in which we live and operate. We pivoted quickly enabling substantially all of our employees to work from home. And I am humbled by how smoothly this transition was implemented and continues to this day. More impressive still was the speed at which our teams deployed our technology and resources to address a wide range of urgent needs across the globe with respect to our clients and the capital markets overall. These improvements are especially visible when we look at our client engagement, not only how we continued to serve our global client base, we have also expanded our outreach to clients. To-date, we have hosted over 20 Virtu University sessions, nearly all of them virtual on a wide range of topics from workflow and analytics tools, algos, liquidity sourcing, programming skills and best practices for managing a virtual trading desk to name only a few. We've seen tremendous levels of engagement with over 1000 clients in attendance from every corner of the globe. We are keeping clients informed and up-to-date on how Virtu two products services and market structure expertise can support them, while they navigate the evolving liquidity landscape. With respect to financial performance in the second quarter, as you can see from the details in our release and supplement presentation on Slide 2, we delivered a second straight quarter of exceptional performance. In Q2, we achieved an average of $10.6 million per day, or $669 million in total of adjusted net trading income. We delivered adjusted EBITDA of $486 million and impressive adjusted EBITDA margin of 72.6% and adjusted EPS of $1.73 for the quarter, reflecting our high operating leverage. As you will see on Slide 4, our strong performance has also continued into the third quarter with July's average daily adjusted net trading income up in the range of $6.7 million to $7 million per day, roughly 75% higher than the daily average in 2019, and almost 70% higher than 2018. We are encouraged that the results from market making and execution services segments remained significantly higher than our historic averages. The driving force behind these results are continued higher trading volumes across global asset classes, robust levels of retail engagement in U.S. equities, and most importantly, the strong progress we are making in our organic growth initiatives. As illustrated on slide five, in the second quarter we witnessed elevated average daily U.S. equity volumes as average daily volumes in Q2 2020 were almost 80% higher than in Q2 2019 and 13% higher than Q1. The continuation of robust levels of retail engagement as evidenced by Rule 605 volumes and equity volumes, with retail trading now accounting for up to 20% of all U.S. trading volumes, about twice the historical average. Average realized S&P volatility of 32 in the second quarter, although down 44% from Q1, it remains at nearly three times the prior year quarter and nearly a 130% higher than the 2018 and 2019 combined full year averages. As you can also see in the slide we posted this morning, retail brokers have seen continued growth in new accounts, trading volumes and net new assets. Rule 605 volume is up significantly as a percentage of overall market volume, which itself is up dramatically as well this year, while Virtu share retail activity has been consistent at roughly 30%. There has been much media and industry speculation about the sustainability of the elevated levels of retail engagement. And this is not in our opinion a short term phenomena but a broader structural change. While the work from home paradigm has also been a contributing factor, the drivers of increased retail activity are part of a long term secular trend which has been accelerated by events this year. Although the long term factors are the dramatic decline in transaction -- among the long term factors are the dramatic decline in transaction cost, culminating in the move to commission free trading last year, and the prevalence of a more sophisticated and a sensible trading technology. These latest developments are opening up trading to a much broader user base, activating a new generation of participants. This democratization of market access is not a new nor transitory phenomena. It has been building for decades through major long term market structure shifts. Long before zero commissions and work from home, we witnessed major policy changes starting in the late 1990s such as the order handling rules, Reg ATS, decimalization and Reg NMS which contributed to leveling the playing field and reducing explicit and implicit cost for all investors. Despite the many headlines focusing on the large U.S. e-brokers, levels of retail engagement at or well above 20% of overall market volumes are not unprecedented in other markets as that has long been a feature of markets in China, Hong Kong, Japan, etcetera for many years. We believe this systemic shift will continue for the foreseeable future. I’ll now cover the highlights for each segment and organic initiatives and then Joe will provide further details on our financials. In our market making segment, we saw another incredible quarter. Within this segment, global FICC options other benefited from extreme volatility in energy, due in large parts of the historic phenomena we saw with negative crude prices in April. Precious metals, where we saw volumes and volatility impact to spot ETF and futures markets and currencies. In our global equities business, we continue to see the encouraging results from our strong market share of 605 volumes and retail engagement. Today, we executed over 30% of market orders placed by retail investors in the U.S. and we provide a price improvement of $308 million in Q2 and $572 million in the first half of 2020. In our execution services business, we had a fantastic quarter with several milestones, record days, product launches and industry recognitions. To start, we posted record days with the notional value traded a posit alert in both Europe and Australia in Q2. These record trading days are a testament to the commitment we made when we acquired ITG, which was to continue improving the client experience by making the platform more transparent, faster and easier to use. In May, we also expanded client access to electronic block liquidity via our new intra-listed condition offering allowing posit alert. Canada and U.S. frontier algo clients to seamlessly access cross border U.S. and Canadian inter listed securities and benefit by matching these two sources of block liquidity in the same security but priced in different currencies. Finally, we continue to receive accolades on our trading tools. Most recently, our frontier execution algos earn the top score in the Trades Annual Global Algo Survey of Hedge Funds featuring 31 other algo providers. While our existing market making business will continue to benefit from the market's new baseline level of retail activity, as well as elevated opportunities like this quarter. Our strategic investment in organic initiatives has contributed over $100 million of adjusted net trading income in the first half of 2020 alone, or 7% of adjusted net trading income compared to 75 million for all of 2019, as you can see on Slide seven. In market making, these initiatives included continued deployment of quantitative trading strategies across Virtu's global trading platform, our global ETF lock desk and our options and corporate bond market making businesses, most of which are now making meaningful contributions to our results. In our execution services segment, organic initiatives like Virtu Capital Markets, which we launched towards the end of last year, continues to expand as more corporate equity issuers look to tap into the capital markets via the app in the market offerings and buybacks. In the first half of 2020, the VCM team has already raised an impressive $1.2 billion from our public equity markets. In addition, we completed the sale of Match Now to CBOE Global Markets, the after tax proceeds of approximately $27 million, will be used to further reduce debt. This reduction is an addition to the $188 million we paid down in the first quarter. Including the Match Now proceeds, we anticipate a total of approximately $100 million in incremental debt repayment in Q3. As we have stated publicly, it is our plan to return to targeted forward expense guidance later this year. We remain committed to our decision given the COVID crisis that we will have no specific reductions in force as we continue to support our people during these trying times. Our performance thus far in 2020 demonstrates the strong operating leverage of our business model. We remain focused on our strategic priorities to continue expanding our scale and global reach, enhancing our technology and growing our organic initiatives. I'll now turn the call over to Joseph Molluso, our Co-President, who will give further details on our financials. Joe?
Joseph Molluso: Thanks, Doug. In the second quarter, GAAP net income was $335 million and normalized net income totaled $340 million. Adjusted net trading income totaled $669 million, our second highest quarter on record just behind last quarter. GAAP diluted earnings per share was $1.58 and normalized earnings per share was $1.73. Both our operating segments outperformed this quarter compared to declines and realized volatility. Market making and execution services ANT declined 17% and 13% respectively, against the record quarter of Q1. Compared to Q2 2019 and indeed all of 2018 and 2019, both of our operating segments were well above historical averages versus the opportunity. As noted previously, we have put on hold any dramatic expense reductions this year, including any reductions in force. We will provide revised 2021 operating expense guidance on our call in November. Nevertheless, our operating margins remained very strong, with year-to-date adjusted EBITDA margins of 73% an all-time high. This includes roughly 17% cash comp ratio as a percentage of ANT for the first half of 2020 versus 24% for fiscal year 2019. We expect this ratio to decline in the second half of the year, depending on performance as we approach year-end and have more visibility with year-end compensation plan. As Doug mentioned, as you would expect in a year like this, we have already reduced our long term debt by $188 million, and at the end of Q2, our debt-to-EBITDA ratio stands at 1.4 times. Further, we expect to reduce our debt by an additional $100 million this quarter. We remain committed to delivering an attractive capital return to our common shareholders and this marks the 21st consecutive quarter of Virtu paying a 20% dividend regardless of market environment. This is truly a testament to the operating leverage, scalability and sustainability inherent in our business. Now I'll turn the call back over for Q&A.
Douglas Cifu: Thank you, Joe. I would like to congratulate the entire Virtu team for their hard work and recognize their unflagging energy to step up in spite of these challenging times. I'm proud of what we've accomplished and look forward to the opportunities ahead. And now with that, we will be happy to take your questions. Sherry, ready for the first question.
Operator: Thank you, sir. Okay. The first question is from Rich Repetto of Piper Sandler. Please go ahead.
Rich Repetto: Yeah. Good morning, Doug. Good morning, Joe. And thanks Doug for laying out the timeline of, I guess the secular the regulatory and structural changes that helps. So I guess just looking at the market making, again, pretty astonishing results. Can you talk about any of the inner quarter happenings in whole and is Virtu legacy, can you talk a little bit at least qualitatively above the performance of the exchange in market maker?
Douglas Cifu: Yeah. So, thanks for the question Rich. So as you alluded to, we have -- within our market making business we have, a customer market making business, i.e. the old legacy night business and then a non-customer facing market business which is global in nature across asset class and geographies. And that's the legacy Virtu business with some elements of the legacy night business, namely the old GETCO business which is a great, a great business kind of put together. We’re that firm, the non-customer business on a standalone basis where that have, if that had reported separately would have been the best first half in history for that business. So, it's clearly everyone's focused on retail volume 605, customer market making, and those are obviously phenomenal businesses, we're very proud to run and we believe that we've materially improved. But the legacy Virtu, combined with the legacy GETCO businesses is just a home run. It's a scale business across asset classes, geographies. It does very well in global equities and it had a phenomenal first half in FICC in particular around commodities and currency. So we continued to be heavily invested in that business and to reap significant returns. I would point out again, part of the strategy here is to leverage the infrastructure and technology and market -- understanding of market structure, if you will, across all of that -- all of our market making segments. And so it's really just a continuation of the theme of scale diversification and having a multi-asset class, multi-currency platform that enables us to provide these services and all these different marketplaces. So obviously, we amalgamate all this business now, so it's a little hard to kind of for you guys on the outside to see it, but it's been a really, really strong phenomenal year for those businesses.
Rich Repetto: Got it. Okay, I'll move to the second question. And thanks for breaking out sort of the organic or talking about the organic growth initiatives Doug. The one jump out to me is an options, because when we looked at payment for order flow of what say your peer pays in options payment for order flow. It's almost double what you pay in equities. And they paid more in options than equities as well. And it would tell me that I know there's some pass-through payments, but it would tell me that there's a big opportunity for revenue in there. And I know you're working on it, but can you just talk about how competitive the marketplace is to break in or to get back into and what you see as you have the customer relationships, I guess. So any color on options, I guess. Sorry…
Douglas Cifu: Yeah, no, obviously, you're right and we're obviously cognizant of the amount of rebates that are paid for options as opposed to cash equities. And there's two incumbents there, Citadel and Susquehanna, which are great firms, we compete with them in cash equities. Obviously, we're not on the board. We don't compete with them in options yet. As I've said previously, in these calls, our firm was built more from a cash equities perspective, given my partner Vinnie's that kind of background on the commodities business. And then in cash equities, and we were not an options firm. So the DNA of the firm is very different. We made an important strategic decision a couple years ago to take the time and effort to build effectively a parallel architecture. That would enable us to be competitive in a quote level environment as opposed to simply an order level environment, because obviously, if you look at Apple as an individual stock, it's one instrument if you look at Apple across calls and put in an exploration in many different strikes, that literally can be thousands and thousands of instruments. So the architecture of an environment that seems to be competitive in that type of dynamic is materially different than a cash equities environment. We've got some brilliant people here. It's not indecipherable to us how to do that. And so we have architected that and it is now operational across the major indices where not -- and a handful of single names as well. To be competitive, obviously, we need to be scaled in the same way, the way that we are in cash equities and we're getting there. It is a -- in any other year, it would be even a larger stand out business, the options business. Right, because it's grown. It's an eight figure business already this year in the first half. But, given the fact that we've generated nearly $2 billion of gross revenues, it kind of looks smaller. But I'm very, very proud of what the group has accomplished. We have the infrastructure. We obviously have the low latency pass between New York, Chicago and within. So we're leveraging the entire infrastructure of the Virtu environment. And as you said, we have all the relationships with the brokers and they would be happy to have us be a major participant there, because other than the two competitors I mentioned, it's a long way down to number three and number four in that marketplace. So it's a spot where we can very comfortably, could become number three relatively quickly, I think. And so certainly, it is a key growth driver for what this firm's going to do over the next one, two, three, five years.
Rich Repetto: Got it, that's helpful, Doug. And congrats on a phenomenal quarter. Thanks.
Douglas Cifu: Thanks very much.
Operator: The next question is from Ken Worthington with JP Morgan.
Ken Worthington: Hey, good morning. So it changes regularly, lean on Virtu to support trading volume and activities that they've launched their new products, and this clearly is a symbiotic relationship between you and the exchanges. What do economics look like for Virtu at the launch phase of these new products. Are you generating losses as you've got your initial startup costs? And are you able to more consistently command higher rebates to compensate you for these higher startup costs? And I guess what I'm really curious about is how things are evolving. Are the economics for you getting better overtime, or are you sort of demanding less overtime because of the symbiotic nature of your relationship? And then I'll tack in to the last part of the question. We're going into the launch of MEMEX. So how are you thinking about support for them as they go into their launch?
Douglas Cifu: Sure. Good question. I'll take the first one and then obviously I'll talk about MEMEX. So I think the answer with regard to us partnering with exchanges around the world to launch products, it really depends on the exchanges. So we're doing this in Asia, in Europe and in the United States. We've done it with the two major futures exchanges here. We obviously collaborate with the U.S. equities exchanges in terms of them creating programs to attract our liquidity. And as you mentioned, with regard to the futures exchanges, when they want to launch a new product or a look alike product, they'll come to us because we have scale and so we can provide attractive two side liquidity and then they can do the business of trying to bring in natural liquidity to interact with the prices that we provide. I'll point out, we do this as much in Asia and in Europe and particularly in Asia as we do it in the United States. And so, we are in the business that creating competition. I always tell people we want to be the Switzerland of liquidity provisioning. So although, I've had my differences with exchanges around market data and whatnot, we're commercial and we deal with them. In terms of the economics of that, we're willing to make an investment modest in terms of trying to create competition. And it really depends Ken, on what the marketplace is and what the product is and how -- I mean, as a typical matter, the exchanges are cognizant that they need to provide -- that they need to make an investment in the form of rebates to subsidize the fact that we may get picked off a bunch in the beginning, by the HFTs and by others that see our liquidity and are bouncing back and forth between exchanges. And there's a cost associated with that. And we do our best to sort of prognosticate what that will be, and then come up with a reasonable basis. So I'm willing to make an investment. It's never material. I mean, we don't lose tens of thousands of dollars per day trying to create competition, but I'm willing to make an investment. It's completely utterly immaterial in the grand scheme of Virtu. But we try to be a good collaborative partner with exchanges around the world. With regard to MEMEX, again, I'm speaking only as a board member and on behalf of Virtu, I always get in trouble because people ask me MEMEX questions and then I say something stupid. So I will do my best not to say anything stupid. Jonathan Kellner is a great CEO, you should ask him about MEMEX. Virtu will, I mean, we're a founding shareholder and an investor in MEMEX. We believe in the business proposition behind MEMEX to try to be somewhat disruptive in the U.S. equities market and create a venue that would be low cost, very transparent and would provide a great product and also would be an advocate for what we thought would be the member's interest in Washington. That's the whole predicate behind MEMEX. Obviously, we have obligations to our clients regarding best execution. And to the extent, we have flow that is subject to best execution requirements. We will always be cognizant and respectful of our regulatory obligations. So we're not going to go post order and in violation of those obligations. We do have a fair amount of discretionary flow here. And certainly, TI would go to MEMEX in those regards. And so we're going to do everything we possibly can within the bounds of our best execution obligations, to be supportive of MEMEX. You'd have to ask Jonathan what his projections are. But certainly, given the scope and scale of our operations and frankly all of our partners in the MEMEX initiative our friends at Citadel, Flow Traders, Jane Street, or all the big banks I mean, there's a lot of institutional support JP Morgan, et cetera behind it. And again, everyone's going to tell you the same thing subject to best execution requirements. We all want to be supportive. And we all want to see, Jonathan and his team in MEMEX be successful. So I'm very, very optimistic about its ability to provide a new voice and to provide value in the equities world.
Ken Worthington: Great, awesome. And then just on the institution or the -- like industry volumes, there's been sort of a divergence between retail and institutional trading activity really since COVID. There are some signs that retail is slowing down. Are you seeing indications that the institutional side which is slow in many products is starting to rebound at all? And what do you attribute the more pronounced pullback in the institutional trading, -- the trading of institutional products? Thanks.
Douglas Cifu: Yeah, it's a good question and certainly, overall market volumes have been very elevated this year. So a pullback again, is relative to volume levels in ’19, ’18 and ’17 and things along those lines. So, I think look, a lot of the institutions what we were hearing certainly during the real dramatic days of March and April, they were difficult markets to trade. I mean, it's hard to -- the real economy sometimes isn't really mirroring if you will, what's happening in the marketplace right. So I think, a lot of our larger asset managers were sort of sitting on the sidelines trying to see what was -- where this would end up frankly. And so, we did see an explosion of retail activity that has continued as a percentage of overall market. And as I said in my remarks, I think that is a secular change not a cyclical change. In other marketplaces as well, you see retail trading of futures and things along those lines. And so it wouldn't surprise me if we started to see some runway. The CME and others are going to be launching these micro -- e-mini micro products to make them more accessible to retail. So, I think there's going to be a healthy balance between retail and institutional. But look, and we shouldn't kid ourselves. I mean the institutional investors are still the 800-pound gorillas, in my view that we support that move these marketplaces that still provide 75% 80% of the flow. So, I think folks on CNBC like to talk a lot about retail and whatnot and it certainly is great for our business. But at the end of the day, this is still a marketplace dominated by the large pension funds, hedge funds and asset managers.
Ken Worthington: Thank you very much.
Operator: Next question is from Dan Fannon of Jefferies. Please go ahead.
James Steele: Good morning. This is James Steele filling in for Dan. Thanks for taking our question. So, just wanted to take it back to retail, obviously, reflected levels of engagement and you're highlighting distinct power of this trend. I'm just curious if this is an area where any regulation might impact? I know that there's a Bloomberg article out highlighting a potential risk of temporal order flow due to some of the SEC's new proposals. So just curious if you agree with that characterization and then just kind of if you could talk more broadly about the [Indiscernible] outlook?
Douglas Cifu: Yeah. I think I mean, frankly, I think the Bloomberg article just kind of missed the point, as a lot of these articles do. Because they're -- folks don't have the context of what's going on. I mean, the 605 regime which is embedded in Reg NMS, right. So it's regulatorily has been codified for over 15 years now. And it's been examined by FINRA and the SEC for over 20 years. This is not some new paradigm in the marketplace. And I think what folks missed because of the fascination with "payment for order flow" is the exceptional amount of execution quality and price improvement. 99% of orders that come to Virtu and to the competitors are price improved off of the national best bid and best offer. So, you have literally millions of folks that are quote, retail investors that are paying zero commission to access the U.S. equities markets and are receiving prices better than any institutional investor can receive. Right? That's the headline. And we provided over $500 million Virtu did, a price improvement off of the NBBO the National Best Bid or Best Offer. And we're 30% of the market so you can do the math as to what my friends at Citadel, Susquehanna and Two Sigma did so, a billion and a half roughly dollars of value was shifted from the market makers directly into the pockets of retail investors in terms of price improvement. And if institutional investors don't get that benefit, they pay a commission. And, they're happy to receive the NBBO. So, any regulator that looks at that, looks at it through the lens of reality and understanding of the markets as opposed to politics and nonsensical headlines will look at that and say, Oh, my God, what a system this is. I can go on a computer, I can go on an iPhone, and for no money, I can get a price better than some large pension fund or asset manager. What's wrong with that? There's nothing wrong with that. There's everything right about that. But again, it's caught in the dynamic of the political environment, which obviously I'm aware of. And that's why we try to highlight price improvement statistics, but you don't see an article that says, Virtu, Citadel, Susquehanna, and Two Sigma provided $1.5 billion of price improvement in the first half of 2020. Maybe there's a reporter listening to this call, and perhaps we’ll get that article tomorrow. I'll take the under on that bet. But at the end of the day, now I have zero concern that there'll be some type of regulatory focus. I've spoken to the SEC, at length about this, they understand it, and they applaud the environment as well.
James Steele: Understood. Thank you.
Operator: Next question is from Alex Kramm of UBS.
Alex Kramm: Hey, good morning, everyone. Can you just give us a little bit more color on what you're seeing in July? I mean, these are still very nicely elevated levels. But obviously, they're down a bit and from the 2Q. So, maybe by your businesses, what you're seeing in retail, what you're seeing in some of the asset classes on the market, making side and in execution services, will be really helpful? Thanks.
Douglas Cifu: Yes, good question. So, yeah, we tried to provide the monthly guidance there and give you guys a view into it. And so look, I mean, it's, as I said in my script, I mean it's still highly elevated our results are at least from 2018 and 2019. And so, we continue to see a healthy dose of 605 volumes and U.S. equity volumes that are significantly higher than historical, which is great. So, it gives us a lot of kind of runway into the third quarter and the rest of the year. I mean, I would point out also that we're seeing, episodic volatility and volumes and other asset classes. I mean, again, I'm not a fundamental investor by any stretch of the imagination. I don't buy individual stocks and I don't give investment advice. But there seems to be a real interest in precious metals these days. And so, we've seen real increased volumes Alex in gold and in silver in particular. We've seen for the first time some volatility in natural gas and increase the natural gas prices again, and maybe its weather related or supply related. Again, that's not my focus. And then lastly, there continues to be a real focus on corporate fixed income and corporate fixed income ETFs, which fortunately, we had, because of the acquisition of Knight, the re-platforming of that ETF business, and some great people in that ETF business, we're now a fairly significant participant then. So we've benefited from some of those volumes. Again, a lot of this gets overshadowed by the emphasis on 605. And then the last thing I pointed, options volumes are highly elevated as well. And maybe that's due to competition. I think there's 16 option venues now and some and obviously, I mentioned the two great market makers there that provide great value and great service. So, it's not just U.S. equities, not just the U.S. and it's certainly not just a single asset class, all of that kind of a compilation, if you will, of volumes and volatility leads to our results in July. April sort of saw the tail end of the real volatility from the initial shock of the COVID crisis. And so I think, that really helped amplify the results in the second quarter, but I'm really encouraged that we haven't seen a dramatic fall off. I mean, it is the summer as well, right. I'm not sure I guess people may be ready at the Hamptons and not going to the Hamptons on weekends. But typically, you see some seasonality in the business and there's a little bit of that, but it hasn't been as dramatic as in prior years.
Alex Kramm: Okay, great. Thank you for that. And then shifting gears a little bit, when I look at that list of organic opportunities, one other things that I may be missing is kind of just your efforts to cross more of your volumes internally between the market making business, the retail business, the institutional business. Can you just give us an update where you stand on that? Maybe any sort of quantitative. What's been happening there on those efforts, and maybe how much that is contributing if there's a number you can put on that?
Douglas Cifu: Yeah, no, that's a great point. I guess I don't consider that an organic opportunity, I don’t know why. It's not like it's a new asset class, if you will, or is that sub asset class. So I apologize for that. Certainly, yeah, that is a keen important part of what we do. So for example, our friends that run our Virtu Capital Markets business, at the money offering business. One of the, I mean, why would an issuer come to Virtu? We don't have research, most of these companies probably never heard of us before. Yeah, we've got market share, but what we really have is the ability to internalize or cross those orders. And so the fellows that run that business came here, frankly, because one, we've got, obviously good electronic products and understanding of market structure. But secondly, because we have this cornucopia of flow here that they're able to internalize and cross and so if you can say to a corporate issuer, listen, I'm going to raise a $20 million for you. And half of it I'm going to cross internally and there's not could be any price impact in your stock, that's a powerful selling tool. So yes, we're doing that, I don't have a number. I probably wouldn't give it to anyhow in my head. But it's a significant part of what we do and it helps both the institutional business, i.e. the ATM business, the Virtu Capital Market and the market maker.
Joseph Molluso: I would call that an internal revenue synergy, Alex, as opposed to like an organic growth opportunity that you can sort of say is it zero, and then you're going to grow to a specific number.
Alex Kramm: Fair point. Thank you.
Douglas Cifu: Thank you, Alex.
Operator: Next question is from Ken Hill of Rosenblatt.
Ken Hill: Good morning. I wanted to build on that last question. Just talking about the new initiatives there. You mentioned, it was up 7% organic -- contribute about 7% in the first half. I think that's down a little bit from the 8% in 1Q and I know I'm nitpicking there. But I'm just kind of curious how much macro factors might play a role in that maybe? What areas between the options ETF blocks and quant strategies, capital markets might perform better or worse than your legacy businesses in a more normalized environment?
Douglas Cifu: Yes. Thank you for recognizing that you're nitpicking, because I concur with your characterization of the question, but I still like it, so I'll answer it. A $100 million in the first half of the year, I'm very proud of that. It would have been a larger percentage of the rest of the business hadn't done as well, I guess is the smarter answer I can give you to that. And you know that already. So I think, look, the ETF block business is going to be -- is a global business that's built for the long-term. It hasn't benefited from volatility, sure. But it certainly would have contributed nearly as much as it has contributed this year in a normalized environment. We have great technology. We got some really, really great people that we inherited from the Knight transaction and we've added to them. And most importantly, there what people don't understand is we have distribution. What Knight and ITG gave us was distribution. We have thousands of end users that need liquidity, that want to do larger than exchange, screen size liquidity and ETFs. And now we know who they are, and they know who we are. So thanks to our friends and colleagues from the former ITG and Knight business, we have sales folks, we have distribution, we've got European pension plans that never would have lit up Virtu in RFQ environment, because they wouldn't know who the heck we were. Now lighting us up. So that is a long, sustained opportunity for us. And obviously the same thing with options and frankly, with everything else we're doing there. So in a normalized environment, it probably would have represented, can slightly more as a percentage of our overall adjusted net trading income. And the last thing which we haven't talked about it but we mentioned in the slides is taking the Knight quantitative style strategies and bringing those around the world. That certainly is not really dependent at all, because none of it is oriented, right. So it's really what's happening outside the world and that continues to grow and to expand.
Ken Hill: Thanks for the detail there. My follow up is really on MATCHNow and the decision to sell that to Cboe. I'm just wondering as you think about those assets MATCHNow is kind of deemed non-core and you decided to get rid of that. You decide that in the past that to keep other assets like positive. I mean, what was it about that market that might facilitate the decision to get a rid of that and maybe find a better home like Cboe?
Douglas Cifu: Yeah. I think, everything is kind of market specific. And so, something that's non-core it's a great business and frankly we were customer on the outside is what's attracted us to ITG. Brian and the guys up there, do a phenomenal job. But effectively, it's an exchange. It's a highly regulated dark exchange in Canada. And that's how I rock up in Canada. God bless them. That's how they characterize it. And so, there was really no strategic benefit for Virtu to own it. Unlike an ATF here, where it's regulated by the SEC but Alex Kramm had asked the question before in terms of internalization, that's how we internalize it. A lot of it's done through the ATF. So we couldn't function without having deposit and the ability to internalize and cross institutional and retail orders and ATM orders and whatnot. And so it's really part of the functionality of our institutional and our market making business. Whereas, MATCHNow was rolled off. And, frankly it was an exchange. I will add parenthetically that we were thrilled to that, that our friends at the Cboe wanted to buy it, because it introduces real -- a third competitor up there. We’re as I said, in response to a question earlier, we're believers in creating competition in every marketplace. And so we had obviously the incumbent Toronto and I guess NASDAQ's up there. But this really interjects a third exchange group as a competitor up in Canada. And Canada is a very important integral part of what Virtu is all about. And having a third group up there that can be dynamic and they're an efficient Global Exchange operator that ultimately in our interest as well. So that's certainly played into our thinking with respect to, it would be better if they operated it, and we were a customer as opposed to us just being a customer treating it at arm's length even though we owned it.
Ken Hill: Got it. Makes sense. Thanks for taking the questions.
Douglas Cifu: Thank you.
Operator: The next question is from Chris Allen of Compass Point.
Chris Allen: Good morning, guys. First Doug and others, I wish you well later on today. Second --
Douglas Cifu: Thank you very much. We could use the luck. So thank you.
Chris Allen: Wanted to get back to the organic growth opportunities, maybe hopefully cream in a different way. In options market making, can you give any color where the one and two player stand from a market share perspective? Where you guys currently are and how that's evolved maybe over the last year?
Douglas Cifu: Yeah, I don't know exactly. This is all public information. So you guys could presumably look it up as well, but like sit down Susquehanna or probably 80ish percent of the market something like that. I mean, they're great firms. They've been doing it for a long time. And we're still really, really or we don't have a 605 business up there, excuse me in the United States. So we are market making on exchanges right now, Chris. And so there's an opportunity for us to go there. Certainly, the retail brokers would be thrilled if we said to them, hey, we're open for business but we know what that means? Because we do it in cash equities across 8000 names, we can't just go to them and say, hey we'd like to be a market maker in Tesla, in SPY, and it doesn't work that way. So until we're ready to provide real service, two sided basis across 800 to 1000 names and all the strikes and whatnot. We're not going to waste the goodwill associated with our relationships to do that. My point earlier in response to Rich's question is that we have all of the infrastructure to do that. The brokers would welcome us because we're a trusted partner in cash equities. And there's an opportunity. Now, the incumbents there are great. Broad firms that are going to continue to be great broad firms, I think we could carve out some small share, and we'll probably come at the expense of numbers, three, four, and five and that kind of thing. And I'm optimistic. But it's not going to happen tomorrow. But it's there, it's a long term --medium or long term plan for our firm. And I would point out that the venues that 16 exchanges every single one of them has reached out to us and said, we're thrilled to have Vitru involved. We're top 10 now, in a handful of those, whereas before we weren't even on the map. So, we're doing it the Virtu way. We're doing it internally, we're doing it with our technology, we're doing with our great people that we've moved over, we'll make some smaller, external hires, but the margin of that business is the same as the rest of the margin of this firm. So we've made investments but it's throwing off 70% plus EBITDA margins already.
Chris Allen: Got it. And then just in the 605 market share you’re seeing a nice bounce back and it seems like it's stabilized there. Do you see more opportunities to gain share there, or should we just think about this more is just industry driven in terms of retail activity moving forward?
Douglas Cifu: Yeah, I mean, I think, look, again, we compete with -- I'm very complimentary of all these firms, right, because they're all great firms. And Citadel is number one in the 605 business and has been for a long period of time, certainly since we bought Knight. And I have no reason to think that we're going to supplant them on an overall basis. Do we focus -- in this 200 individual relationships Chris, right that's the one thing that I think people miss. And there are institutions around the world, not just the big three, four or five, that send flow. So we're focused on all those. We got a great broad sales team, it's truly become a global effort. One of the benefits again of buying ITG is that we now have folks in Europe that were contacted on a 605 business that may know some small European retail banks that we act as an institution for. They have wealth management clients that want to buy Tesla, Nikola, Apple, et cetera. And we can offer front door guaranteed execution of those trades, during U.S. hours obviously, right. So, again, this is not a business where I'm particularly focused on, Oh, I want to be 33% or 34% or 32% or 31%, I want to be -- I want to be profitable, I want to provide a good service, I want to provide really good price improvement. I'm very, very comfortable where we're at right now.
Chris Allen: Got it. Thanks guys.
Douglas Cifu: Thank you.
Operator: The next question is from Ben Herbert of Citi.
Ben Herbert: Hey, good morning. Thanks for taking the question. So wanted to shift gears a little bit to the services side and maybe particularly infrastructure, workflow and analytics and just if you have any takeaways from the environment over the last five months or so, and how that might impact your growth opportunity or trajectory thoughts from here and any shift in strategic priorities?
Douglas Cifu: Yes, good question. So I mean, I was very obviously resiliency and scalability and latency are always issues, particularly when it comes to your workflow infrastructure business, right? So we're talking about Triton and ITG net, which are effectively the backbone for a lot of our buy side clients. I mean, thankfully we had rolled out some improvements to the Triton. We had launched rolled out Triton Valor, which is our new version of Triton. And so, it held up well in the crisis and with the heightened volumes. And so I continued to be a fan of that business, because it's a recurring revenue subscription business. And it's a little counter-cyclical, if you will, to the market making business obviously, in a year like this, where the market maker is doing exceptionally well. It can get overshadowed, but it's a steady business. The analytics business, same thing, we've rolled out a lot of improvements. We've created a platform which we call the portal, which enables clients to effectively use our tools, but then have their own information in their own environment and work with it there and we've gotten great feedback from our clients. And again, ITG was the market leader in and in global analytics, certainly in global equities, we've done a good job, I think we’re trying to make that multi asset class. And so it's a steady subscription based business, that really buttresses the relationship with these hundreds of asset managers and pension funds that use those services,18 of the top 20 global asset managers in the world are Virtu analytics customers, which is really pretty remarkable and none of them fled because of HFT and all that kind of stuff that some of the critics were concerned about. So I like the businesses a lot. It scales nicely off of our understanding of market structure and financial technology. And again, it's a nice bit of recurring subscription revenue. That is not entirely dependent on transaction volumes.
Ben Herbert: Thanks for that. And then as a follow up, I understand that debt pay down is the priority. But could you just give us your latest thoughts on potentially doing a special dividend at some point?
Joseph Molluso: Yeah. Look, I think as we've said, we've already paid off $188 million, I think we've got this quarter given the asset sale of MATCHNow and other plan the excess cash flow, we will target another $100 million. That'll get us to almost 300 for the year, we'll see where the year ends and then make that decision. But I think we've always said that in a year like this, we will use that to de-lever, that's why we've always told your various constituencies, credit investors, rating agencies and et cetera you've got to look at Virtu through the cycle. This year demonstrates that, and we're kind of good to our word with the credit markets that in a year like this, we will de-lever. And I think you're seeing that. I think when we approach the end of the year and look at how much we've de-levered and look at kind of our cash flow and our obligations, we'll definitely take a look at that. And all those things would be on the table including buying back shares, if it makes sense.
Ben Herbert: Great. Thanks for taking the questions.
Douglas Cifu: Thank you.
Operator: The next question is from Alex Blostein of Goldman Sachs. Please go ahead.
Alex Blostein: Hey, great. Good morning, guys. Thanks. So, just another follow up on MEMEX Doug, can you help us contextualize what the success of MEMEX mean for Virtu financially? So any measure like 1% market share gain in U.S. cash equity flow, what does that mean in terms of lower trading costs for you guys? I know it might be hard to quantify, but anything that would be helpful. And longer term, how do you think about sustainability of these benefits? Or, do you think of them eventually being sort of competed away in terms of kind of tighter bid ad spread or backing those benefits down to the customer from an execution services perspective? Thanks.
Douglas Cifu: Yeah, thank you. Well, MEMEX is obviously a great idea because Goldman Sachs is an investor in it. So Goldman only does smart things. So we thank you for that Alex. Look, I think the best way to quantify the benefit already has been that in the last two years and certainly we were helped with a regulatory environment where we had a chairman of the SEC, Jay Clayton and the Head of Trading Market Brett Redfearn. There I'll be controversial for a second, we're actually doing their job and read the 34 Act and concluded that market data and other services and facilities and an exchange are subject to review and approval by the SEC, kind of what the law says and the SEC was kind of ignoring it for 10 years before that. And so as a result, we didn't have -- we haven't had any material market data or connectivity price increases in the last two years. So as far as I'm concerned, MEMEX has already paid for itself. But we don't separately break that out of Alex, as a part of our communications data, et cetera. But I can tell you that historically, those increases kind of came in like clockwork, here's 7%, here's 8%, here's 12%. And I used to call the CEOs of these places and say how does that work? I can't call fidelity and say, Oh by the way, I'm increasing the bid offer spread by 12%. That doesn't work. So, we've had success already. So I'm thrilled with how the marketplace has responded. And that was always our intention to have a marketplace solution that demonstrated that you can run an exchange more efficiently. And so, I'm thrilled with how that has kind of come out. And some of it obviously was helped by having, Clayton and Redfearn interpret the 34 Act in a way that I thought should have been interpreted for years. In terms of, again, their market share and all that stuff, again, I don't speak for them you can talk to Jonathan Kelly about what his plans are. He's doing a fabulous job. They got a great team there. We at Virtu have significant market share there. Yes. But we have significant market share on every exchange and every ATS in the United States, will it be materially more than other exchanges? I don't know. It depends on what the liquidity looks like there and frankly, how we can make money. But again, we're excited that it'll be a new type of exchange. I think the technology that they've developed is going to be special Tom Fay, the CLO, there is phenomenal architect. And so, they're going to have very low latent deterministic -- highly deterministic technology and very, very transparent which is all we ever asked for. And so we're excited, we think Virtru will be able to make very good efficient markets there and be highly profitable.
Alex Blostein: Great. And then just a quick follow-up around M&A opportunities you guys haven't talked much about on this call today. But I think in the past, Doug you talked about significant scale benefits that a merger can bring to a few potential target. Has the current trading bonds are being as robust as it is, kind of delete some of these opportunities or you still anticipate yourself being somewhat active maybe on M&A front. Any comment there?
Douglas Cifu: Yeah, look, it's a good question. We’re certainly been approached by a lot of people, I think, folks look at the environment and, it's no illusion, right? People come and say, well, look how great I'm doing in 2020. My response is, okay, well, if you valued Virtu with 2019, multiple off for 2020 EBITDA, the stock should be 82 and unfortunately it's not, right. So we understand the ebbs and flows of the marketplace. We're very smart context buyers. We're in every -- just about every asset class in geography both on the market making, on the institutional side, we've done two very accretive, very, very strategic acquisitions that add a lot of scope products, services and value to our shareholders. And we're in the process of tucking those in. We will continue to look at things, continue to be constructive. And certainly, I wouldn't say -- I wouldn't forestall the possibility that we would do something. I said on the last earnings call, it's difficult to get a feel for a company when you're zooming with 10, 15 people as opposed to go and you visit them, walking around kicking the tires. And I'm a big believer in tire kicking because a lot of what we do is cultural and the reason Virtu is successful is because of the culture that we've, Vinny and I started here at Virtu that we really believe in and it's difficult to get a feel for a company over a Zoom or a chat or this or that. And so it's a challenging environment for that. And what I've said many times before, and I will repeat, we will only do a transaction that Joe and I and the rest of the senior management team and our Board agrees, is strategic to us and is accretive to our shareholders, all right. But we don't -- we have plenty of goods and services and plenty of scope here and a lot of organic opportunities. We don't need to go reach on value and on price on anything. So Joe, if you have anything to add?
Joseph Molluso: No. Alex, I'd say that the environment to Doug's point has actually increased the amount of opportunities we're seeing. But as Doug said, I think the environment also causes expectations to kind of be a little bit different than they were last year.
Alex Blostein: Got it. Thanks so much.
Douglas Cifu: Thank you.
Operator: The next question is from Michael Cyprys of Morgan Stanley.
Michael Cyprys: Hey, good morning. Thanks for taking the question. Just wanted to dig in a little bit on the execution services side, I was just hoping you could fill anything back a little bit more, maybe give us a little flavor of how much of the $117 million of execution services revenue in the quarter was from more contractual driven revenue streams versus revenues that are a little bit more functional of transactional activity coming through? How that has evolved over the past couple of quarters? And as you look out over the next couple of years, how do you see the growth dynamics different between the two? What should we be thinking about there?
Douglas Cifu: Yeah. Joe, why don't you answer the first part of it there you want to give the…
Joseph Molluso: Yeah. Look, I think, as Doug said, when you break down that business the kind of workflow technology analytics piece is a steady business. So, we would expect that the contribution there kind of remained constant and grows over the long-term, but is pretty much constant. So, I think any variability you see there is really due more to kind of the environment and the business mix, especially between U.S., Europe and the rest of the world. So I'd say that anything you see there, that's a decline I would attribute to kind of really just business mix, especially outside the U.S.
Michael Cyprys: And any thoughts on growth for the more transactional side as you look forward? So it sounds like the recurring side more steady and they kind of consistent growth a little bit overtime, but what about the transactional side?
Douglas Cifu: Yeah, I think look, I mean as I mentioned in my prepared remarks that, we have spent a lot of time and invested a lot of money in making a great out of street product that the street is recognizing. I mean Virtu exists on the institutional side, because of execution, quality and service, but because of execution quality. We don't tell research, corporate access, prime brokerage, all the things that -- all the great things that all the big banks do and the medium sized banks and other broker dealers do, we don't do any of that. So, our products need to be differentiated on execution, quality, market impact and understanding of market structure. And that's what we built on the market making side. We thought it would make sense and translate to the institutional side. And indeed it does. We also have scale. And so, we're the only firm I think that will -- I don't know this for a fact. But I'll say it anyhow, that will have a single ubiquitous algo suite that really does the same thing across with nuance for different marketplaces. But if you're a global trading firm, and you want to access Japan, the European markets, Canada, the U.S., Latin America, you're going to be using the same algo suite, modified for each of the marketplaces. But it's going to do essentially the same thing. And so there's going to be that comfort if you will, that you're going to have, be able to measure its efficacy across those various geographies. And we're going to do that in a scaled very efficient way. That's where we're building. That's what we've already built. And that's what we've already launched. I don't think other firms have that. And again, it can also be a cross asset classes because of what we do in FX and we also can provide pre and post analytics, because our analytics platforms and you can have EMS because of our Triton, so all of those products are there. And we've got a lot of great sticky clients that resonates with. And we've gotten great feedback. We won the Algo Suite of the Year, if you will in Europe, which really kind of surprised us because we don't really do a lot of marketing and sponsorship and that kind of stuff. The proof is just really in the pudding. And I would add, growing a capital markets business, having an outsource trading business, again, doing those the Virtu way adding a handful of people but using the suite of products and technology we have here, we can do those businesses and have them be Virtu style profitable without having to add any real costs and infrastructure. That's the key. That's really where this business is going. And I think the competitors don't, either don’t recognize that or can't adjust fire because they're driving the Titanic and we're driving a little PT boat.
Michael Cyprys: Got it. And just a quick follow up on the debt pay down. Just curious how you're approaching and thinking about and right sizing the magnitude of the debt pay down with $486 million of EBITDA on the quarter and debt pay down I think, was maybe about a third of that. So it seems like you do have capacity to pay down a bit faster. So just curious how you're thinking about that is the EBITDA number the right number I should be looking at for capacity for debt pay down?
Joseph Molluso: Well, it is. I mean when you look at our free cash flow, you start with EBITDA, our CapEx remains kind of historically modest. And then, our cash taxes are what they are. So it is the right starting point. Look, I would say it kind of goes back to the grand bargain that we've made with the credit markets as we financed our transactions and that we have obligations to pay down debt and we have a desire to pay down debt. And, I think we're at 1.4 times debt-to-EBITDA. By the end of the year given kind of the current trajectory, as I said, another $100 million this year wouldn't be surprising if we were closer to one at the end of the year. And then I think, we like to look at that through the cycle. So I don't expect you to give them the inherent volatility of the business. I don't plan on it being one but I think that would be a very comfortable place to consider alternatives to additional debt pay down including buybacks and other things you would do with excess cash. So we don't have a specific target in mind for the end of the year. But I think looking at where we are, I think that we're going to end up close to that. And then we'll decide we want to do.
Michael Cyprys: Great. Thank you.
Douglas Cifu: Thanks.
Operator: And that was the last question. I'll turn it over to you for any closing remarks.
Douglas Cifu: Thank you, Sherry. And I'd like to thank everybody for taking the time and for all the informed questions we received today. We look forward to engaging with all of you again in early November. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. And you may disconnect your telephones.